Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today's Conference Call to discuss LifeVantage's Third Quarter of Fiscal 2024 Results. At this time, all participants are in a listen-only mode. Following the formal remarks, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up. Hosting today's conference will be Reed Anderson with ICR. As a reminder, today's conference is being recorded. And now I would like to turn the conference over to Mr. Anderson. Please go ahead, sir.
Reed Anderson: Thank you. Good afternoon and welcome to LifeVantage Corporation's conference call to discuss results for the third quarter of fiscal 2024. On the call today from LifeVantage with prepared remarks are Steve Fife, President and Chief Executive Officer; and Carl Aure, Chief Financial Officer. By now, everyone should have access to the earnings release, which went out this afternoon at approximately 4.05 P.M. Eastern time. If you have not received this release, is available on the Investor Relations portion of LifeVantage's website at www.lifevantage.com. This call is being webcast, and a replay will be available on the company's website as well. Before we begin, we'd like to remind everyone that our prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and therefore undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties including those identified in the Risk Factors section of LifeVantage's most recently filed Forms 10 K and 10 Q. Please note that during today's call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency into LifeVantage's ongoing results of operations, particularly when comparing underlying operating results from period to period. We've included a reconciliation of these non-GAAP measures with today's release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast May 2, 2024. LifeVantage assumes no obligation to update any forward-looking projections that may be made in today's release or call. Now I will turn the call over to Steve Fife, the President and Chief Executive Officer of LifeVantage.
Steve Fife: Thanks, Reed and good afternoon, everyone. Thank you for joining us today. Profitability trends remain very positive in Q3 as we again delivered significant year-over-year improvement in adjusted EBITDA. For the quarter, our adjusted EBITDA was $5.1 million, an increase of 55% from the prior year period. And our adjusted EBITDA margin was up 440 basis points to 10.5% as we continue to optimize our LV360 initiatives and improved productivity despite the persistence of top-line headwinds. While third quarter revenue levels were below our expectations January and February were negatively impacted by the timing of certain incentive and promotion activities. For example we did not repeat in the incentive trip that ran last year and Japan was coming off elevated incentive activities in fiscal Q2 that likely pulled forward some demand. However, we did see trends reverse the last month of the quarter and the promising performance in March carried over into April. March results along with continued successes in April have been driven by a focus on increasing our enrollers, which we define as the number of consultants who sign up or enroll another customer or consultant. We have optimized our LV360 initiatives with the focus on this group, specifically working to ensure new consultants see meaningful income in their first days with LifeVantage, ultimately leading to their retention and enrollment activities. As we've discussed previously, our evolved compensation plan is a modern forward-looking compensation system that rewards independent consultants generously for their efforts offering diverse income streams and opportunities to accelerate their path to success. Evolve caters to the dynamic needs of modern entrepreneurs and affiliates who are driven to share and sell products to their networks as well as those who also want to build a robust collaborative team. Consultants who earn income and they're firstly by sharing our differentiated activating products are five times more likely to achieve our first milestone rank than those who did not earn within their first week. Working from these data trends, in Q3 our team optimize the experience for new consultants to help them become enrollers quicker. In addition to a new onboarding journey that guides new consultants through next steps. The optimization also includes renewed emphasis on three 10% off consultant discount codes for new consultants to share with the first three consultants who joined with an enrollment pack. And on March 18, we added three customer discount codes to enrollment packs as well, giving new consultants three 10% off codes to share with their first three customers. Consultant discount codes expire in 30 days and the customer codes expire in one week, driving urgency to act while also building confidence in sharing LifeVantage and our exceptional products. Our drive to increase the number of enrollers is also supported by our continued focus on simple messaging around three basic behaviors of network marketing; enrolling, retaining and rank advancing or ERA. As you may recall, we announced the 'Rise ERA' theme and 'Rise ERA' incentive in January, which enables consultants to earn enticing prizes including shareable items like luggage and vouchers based on achievement in enrolling retaining and advancing. In March, we simplified qualifications for our enroll track to make the 'Rise ERA' incentive even more appealing to all types of enrollers. We also added to the 'Rise ERA' incentive a localized incentive trip, price retreat. From February through June, the end of our fiscal year, consultants who earn 10 enrollment tracks through the 'Rise ERA' incentive will qualify to travel to their markets destination location, where they will receive exclusive training as well as enjoy on-site activities. This addition puts even greater emphasis on enrollments and the drive to increase active accounts. Many of these Q3 optimizations were announced at Momentum Academy events held throughout March in all of our markets except Japan, which held its Momentum Academy just last week. Our US event was held March 14 through the 16 in Nashville, Tennessee. Momentum Academy 2024 offered attendees an extraordinary chance to advance their business through innovative workshops, seminars and keynotes, encompassing enrollment, retention and advancement strategies, laying a robust foundation for entrepreneurial growth consistent with our year long Rise theme. Momentum Academy also showcased the global launch of our revamped true science activated skincare collection. The launch of this enhanced collection firmly positions LifeVantage as a leader in innovative skincare, delivering on the promise of activating skin health. This latest offering builds on the successful October 2023 launch of TrueRenew Daily Firming Complex, the reimagined TrueScience lineup features true new plus three refreshed reimagined clean product formulas. TrueClean Refining Cleanser, TrueLift Illuminating Eye Cream and TrueHydrate Brightening Moisturizer, each is designed with cutting-edge science including a patented Nrf2 ingredient blend plus additional premium, planet-friendly ingredients proven to support skin health and deliver visible anti ageing results including brighter skin in as little as seven days. The collection offers advanced solutions for the smart skin care enthusiast, underscoring our commitment to ensuring LifeVantage consultants have the very best results driven products to share with customers and grow their businesses. Also our new TrueScience, TrueProtect Daily Mineral Sunstick, a broad-spectrum mineral base share sunscreen launched in the US as an add-on to the collection. In addition to new products, the USC band saw the launch of new consultants enrollment packs and subscription stacks, highlighting the best of inside activation which is Protandim Nrf2 outside activation, which is the new true science lined and the best of both liquid collagen. In addition, new activation videos and social media content strategy were introduced along with targeted enrollment pack promotions, to help drive growth of customer and consultant enrollments momentum. Momentum Academy was a resounding affirmation of our 'Rise Up' ethos. It was exciting to witness the LifeVantage community come together, fueled by inspiration and armed with actionable insights, to propel these entrepreneurs to new levels of success. This event is a pivotal part of our journey upward, as we continue to advance our innovation agenda and product activation messaging to empower our consultants. And consultant productivity is trending favorably, helping to offset the overall decline in active accounts during Q3. Revenue per consultant was up over 6%, on a year-over-year basis for the quarter and this was on top of a 15% increase, a year earlier. Revenue per consultant has now shown a year-over-year increase in each of the last five quarters. Liquid collagen continues to be a significant contributor to our overall results, and as expected most of the growth in this product is now being driven by international markets, as we cycled the strong early adoption from the initial launch in the US. In the third quarter, revenue attributable to liquid collagen including the Healthy Glow Essential Stack, which bundles liquid collagen with Protandim Nrf2 Synergizer exceeded $11 million and was up approximately 7% from a year ago. As a percentage of our overall mix, approximately 23% of our Q3 revenue was attributable to liquid collagen compared with 20% a year earlier. In the US, consultant penetration of liquid collagen is strong at 27.8% in the quarter, down from 31.6% during this strong promotional period focused on the Healthy Glow Essential Stacks in Q2, but up from 27.2% in Q1. Customer penetration remained flat at 27.2%, in the U.S. in Q2 and Q3. At the beginning of February, we launched the next phase of our LV 360transformation with the expansion of our Evolved Compensation Plan and Rewards Circle, customer loyalty program into Canada, Mexico and our European markets. Evolve and Rewards Circles were first introduced in the US, Japan, Australia and New Zealand as part of our LV 360initiatives roughly a year ago, and have been critical roles in driving engagement with consultants and customers. In summary, we are making significant progress on our profitability improvement initiatives and are very pleased to have returned to adjusted EBITDA margins to double digits, in a period where revenue growth remained challenging. Our broader LV 360 initiatives continue to gain traction and we are excited by the level of engagement, we are seeing across the organization. Finally, capital allocation and driving stockholder value remains, a key area of focus. In the last quarter, we continued to repurchase shares and again raised the quarterly dividend. Now, let me turn the call over to Carl Aure, our Chief Financial Officer to review our third quarter financial results. Carl?
Carl Aure: Thank you, Steve and good afternoon, everyone. Let me walk you through our third quarter financial results. Please note, that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliations in today's press release for additional details. Third quarter revenue was $48.2 million, down 10.2% on a year-over-year basis and foreign currency negatively impacted revenue by $800,000. Excluding the negative impact of foreign currency fluctuations, third quarter revenue was down by $4.7 million or approximately 8.7% as compared to the prior year period. Revenue in the Americas region decreased 5.9% to $37.2 million in the quarter, primarily driven by a 13.9% decrease in total active accounts, partially offset by higher average revenue per account, resulting from changes in product mix and the continued penetration of our TrueScience liquid collagen products. Revenue in our Asia-Pacific and Europe region decreased 22.4% to $11 million in the quarter, driven by a 17.1% decrease in total active accounts, the closure of our e-commerce business in China, and the negative impacts from foreign currency exchange rate fluctuations. Excluding the negative impact from foreign currency fluctuations, which were primarily being driven by Japan, third quarter revenue in our Asia-Pacific and Europe region was down 16.1% compared to the prior year period. Gross margin was 78.9% for the third quarter compared to 80.2% in the prior year period. The decrease in gross margin was primarily driven by a shift in product mix, higher inventory obsolescence and manufacturing related costs, and higher shipping and warehouse fulfillment expenses during the current period. Commissions and incentive expense in the third quarter decreased by $4.1 million year over year. As a percentage of revenue, commissions and incentive expense decreased 340 basis points to 40.9% versus one year ago levels, which was primarily driven by changes in sales mix, the timing and magnitude of our various promotional incentive programs, and changes related to our Evolve compensation plan. Non-GAAP adjusted SG&A expense was $15 million compared with $17.7 million in the prior year quarter and was down 190 basis points as a percentage of revenue to 31%. Adjusted non-GAAP operating income was $3.4 million compared with adjusted non-GAAP operating income of $1.6 million in the prior year period. Adjusted non-GAAP net income was $2.8 million or $0.21 per fully diluted share in the third quarter compared to adjusted non-GAAP net income of $1 million or $0.08 per fully diluted share in the prior year period. The third quarter tax rate was 13.6% compared to 38.6% a year ago, reflecting the favorable impact of discrete items recognized in the quarter. For fiscal year 2024, we expect our annual effective tax rate will be approximately 22% to 24%. Adjusted EBITDA for the third quarter was $5.1 million or 10.5% of revenues compared to $3.3 million and 6.1% in the same period a year ago. Please note that all of the adjustments from GAAP to non-GAAP that I discuss today are reconciled in our earnings press release issued this afternoon. We ended the third quarter in a strong financial position with $17.4 million of cash and no debt. We also recently entered into a new $5 million revolving line of credit on April 12th, 2024. Capital expenditures totaled $300,000 in the quarter and we continue to anticipate total capital expenditures for fiscal year 2024 to be approximately $2.5 million. In addition to maintaining a strong balance sheet, we continue to focus on our capital allocation priorities to drive value for stockholders. During the third quarter, we used approximately $1.9 million in cash to repurchase 292,000 common shares under our share repurchase authorization. And through the first nine months of fiscal 2024, we have used approximately $4.6 million to repurchase 725,000 shares. As of March 31st, 2024, there is $22.3 million remaining under our stock repurchase authorization. We also announced a quarterly cash dividend of $0.04 per common share of stock, a 14.3% increase versus the previous quarterly rate or approximately $500,000 in the aggregate. The dividend will be paid on June 14th, 2024 to stockholders of record on May 31st. Since the beginning of fiscal 2024, including the latest dividend announcement, we will have paid cash dividends of $0.545 per share or approximately $6.9 million in the aggregate. So, far this fiscal year, we will have returned over $11.5 million in total value to our stockholders through share repurchases and dividends. Turning to our fiscal 2024 outlook, we anticipate our fiscal 2024 revenue will be in the range of $202 million to $205 million, a change from the previous range of $207 million to $213 million. Additionally, we continue to anticipate adjusted non-GAAP EBITDA in the range of $16 million to $18 million with adjusted non-GAAP earnings per share in the range of $0.57 to $0.67 per share. Included in our FY 2024 guidance is over $2 million of non-recurring expenses related to an expiring sponsorship agreement and costs associated with the rollout of LV360 to our remaining markets, which will not be incurred in future years. We remain committed to improving our adjusted EBITDA margins and believe we are well on track to reach our long-term target of low double digits. And with that, let me turn the call back over to the operator for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] The first question we have is from Doug Lane of Water Tower Research. Please go ahead.
Doug Lane: Yes. Hi. Good afternoon, everybody. Just looking at the numbers versus my expectations here, I know the top line came in a little bit below your expectations company-wide, but I think particularly the non-US markets came in weaker than I expected sort of reversing a trend there, where it looks like they were getting better sequentially. So, can you go through the international markets, where we are and where the disconnect is between at least my expectations and what the results were?
Carl Aure: Sure. Yeah, Doug, thanks for the question. Yeah, regarding the international markets, Q3 was definitely a little softer for us, in particular in Japan is where we saw some weakness, especially sequentially quarter-over-quarter. And then we're also continuing to see just with some of the other Asia-Pacific markets with Philippines. We've talked about Philippines previously. We're still trying to find the right balance of momentum there in the Philippines side. And so that one also continues to be at least underperforming to our expectations. However, I mean, I think we're still -- I think we're optimistic about where Japan is headed ultimately. We just recently had a Momentum Academy there at the end of March that Steve attended. And I still think we're very optimistic about where things are headed in the future.
Doug Lane: And looking at the fourth quarter sales guidance, you're looking for sequential improvement from being down double digits to being down maybe only low to mid-single digits. So what have you seen so far here in the second quarter that gives you optimism that things -- I mean, in the fourth quarter that gives you optimism that trends will -- while still down will improve sequentially from the third quarter?
Steve Fife: Yeah, Doug, this is Steve. In our prepared remarks, we talked a little bit about the slow start in the quarter. January and February were really tough for us and part of it was the timing of some incentives and everything that we had going on last year during the quarter that we didn't start until later in the quarter, or are announcing here shortly. So there's some of it -- that is clearly incentive driven. But as I mentioned and again, in the prepared remarks, at our Momentum Academies, we introduced a number of things. We've talked about the Rise ERA and the focus on enrolling retaining and advancing, but we also introduced some coupon codes, the lift -- we saw a lift with the introduction of the refresh of our TrueScience line and the announcement of an incentive trip, all of which occurred kind of middle of March, let's say and those events were staggered throughout March, but we could say the middle of March and so, we saw a tremendous response to that to each of those things in March on and actually saw a continuation of that with increasing active accounts and activity in April. We don't have final revenue numbers yet. But in terms of our active growth or active accounts, we saw growth look both in March and in April. And I guess the end of the day, that's what's giving us encouragement is how well these initiatives have been received. And also, although much smaller markets for us, we talked about the announcement and the rollout of our evolved compensation plan in Canada, Europe and Mexico in February. And we are seeing growth in all three of those markets in February, March and April, as they get up to speed and adopt the new compensation plan. There are embracing minutes. And so there's there is some encouragement in our international markets. And again, most recently in those markets we've launched the off compensation plan.
Doug Lane: No, that makes sense. Thanks, Steve. I like I get that. And then Carl, I know we talked about the commission and incentive line before coming into the quarter at 41% is the lowest I've seen for any quarter that I have at least printout of my sheet in front of me. Why is it continue to go down? And when do you think it will go back to a more normal maybe mid-40% number?
Carl Aure: Yeah, as far as Q3 goes, a lot of the -- but that low number in Q3 was really -- that's really related to timing of the way that some of the incentives and the incentive trip sell for us. As Steve mentioned, we didn't have a similar incentive trip for the first part of Q3 here. And so that's really what's driving it down. So I think it's a temporary decline. We're expecting that to get back above that 43% level in Q4. Q4 will have much heavier promotional activity associated with a few events and promotions that we have running. And for the full year, we're expecting it to be back up closer to that 43% level. So, that's I do think it's a it's definitely a temporary decline. We anticipated to normalize closer to that 30% -- 43% range.
Doug Lane: Yes. Okay. Thank you.
Carl Aure: Thanks, Doug.
Operator: There are no further questions at this time. And I would like to turn the floor back over to Steve Fife for closing comments.
Steve Fife: Well, thanks for joining us today. And as we conclude, I want to extend my appreciation to our committed employees, outstanding independent consultants, stockholders and faithful customers. The strength of our distinctive platform coupled with the competitive edge of our business model that empowers individuals to establish businesses on their own terms. It's complemented by a steadfast leadership team, a diverse range of unique products and engaged consultant community and a robust financial position. This collectively emphasizes our strategic positioning for the future, enabling us to pursue long term goals, while we consistently build sustain sustainable value for our share stockholders. Thanks so much for joining us and we'll talk to you next quarter.
Operator: That concludes today's conference. Thank you for joining us. You may now disconnect your lines.